Operator: Good morning, ladies and gentlemen, and welcome to the Henry Schein Fourth Quarter and Full Year 2019 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's call, Carolynne Borders, Henry Schein's Vice President of Investor Relations. Please go ahead, Carolynne.
Carolynne Borders: Thank you, Holly and thanks to each of you for joining us to discuss Henry Schein's results for the 2019 fourth quarter and full year. With me on the call today are Stanley Bergman, Chairman of the Board and Chief Executive Officer of Henry Schein; and Steven Paladino, Executive Vice President and Chief Financial Officer. Before we begin, I would like to state that certain comments made during this call will include information that is forward-looking. As you know, risks and uncertainties involved in the company's business may affect the matters referred to in forward-looking statements. As a result, the company's performance may materially differ from those expressed in or indicated by such forward-looking statements. These forward-looking statements are qualified in their entirety by the cautionary statements contained in Henry Schein's filings with the Securities and Exchange Commission, including the Risk Factors section of our Annual Report on Form 10-K. In addition, all comments about the markets we serve, including end market growth rates and market share, are based upon the company's internal analysis and estimates. Our conference call remarks will include both GAAP and non-GAAP results. We believe the non-GAAP financial measures provide investors with useful supplemental information about the financial performance of our business, enable the comparison of financial results between periods where certain items may vary independently of business performance and allow for greater transparency with respect to the key metrics used by management in operating our business. These non-GAAP financial measures are presented solely for informational and comparative purposes and should not be regarded as a replacement for corresponding GAAP measures. These reconciliations can be found in the supplemental info section of our Investor Relations website and in Exhibit B of today's press release, which is available in the Investor Relations section of our website. The content of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, February 20th, 2020. Henry Schein undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. Please limit yourself to a single question and a follow-up during Q&A to allow as many listeners as possible to ask a question within the one hour we have allotted for this call. With that said, I would like to turn the call over to Stanley Bergman.
Stanley Bergman: Thank you very much Carolynne. Good morning everyone and thank you for joining us. 2019 was a historic year for Henry Schein, with a spin-off of our global Animal Health business as well as the continued integration of Henry Schein One, which offers an extraordinary array of best-in-class dental software solutions to help dentists optimize the management of their practices, provide better communications to patients and drive greater traffic to the practice. Our global dental and medical businesses continued to demonstrate solid growth. As our end markets evolve, we are aligning our business with the segments that we believe offer the best opportunities for our long-term growth in sales and in profits. We are excited about the future of Henry Schein and believe we have strategically positioned our business for continued success in the healthcare markets we serve. In the fourth quarter, we delivered internal sales growth from continuing operations at 4.9% in local currency, which excludes sales of Covetrus -- exclude sales to Covetrus. This was highlighted by strong revenue growth in our medical and technology and value-added services businesses, along with North American dental equipment and international consumable merchandise. These sales results contributed to an increase in diluted EPS from continuing operations of 192.2% on a GAAP basis, impacted by net gain on the sales of equity -- of the sale of an equity investment and EPS growth of 9% on a non-GAAP basis. Overall, we believe our performance was an excellent conclusion to this transformative year. Today, we are affirming our guidance range from -- for 2020, non-GAAP diluted EPS from continuing operations of $3.65 to $3.75. Steven will discuss this in greater detail in a moment. So, the overall conclusion to the quarter, to the year, to the state of the company is that we continue to make, in our belief, solid progress in growing our business organically, 4.9% growth organically in the fourth quarter, with a focus on gaining market share, advancing sales of high-margin products and driving efficiencies throughout the business, while at the same time, making investments in strategic businesses that advance the Henry Schein footprint of products and value-added services. We expect to continue to generate significant cash flow each year and plan to put this to work with strategic transactions, investing in our infrastructure, R&D and our specialty and software businesses, while at the same time, returning cash to shareholders in the form of share repurchases. In addition, we are working very well with a number of strategic suppliers to advance our goals. And overall, we believe we are moving in a direction that will continue to advance EPS growth and so the cash flow and so shareholder value. More information a little bit further down the call. At this time, I'll hand the call over to Steven to review our financial results and guidance and then provide some commentary on recent business performance and accomplishments. Thank you. Steven?
Steven Paladino: Okay. Thank you, Stanley and good morning to all. As we begin, I'd like to point out that I will be discussing our results from continuing operations as reported on a GAAP basis, and also on a non-GAAP basis. Our Q4 2019 and Q4 2018 non-GAAP results exclude certain items that are detailed in Exhibit B of today's press release and also in the supplemental information section of our Investor Relations website. Please note, as we mentioned on our last earnings call, Q4 2019 non-GAAP results also exclude a net gain on the sale of equity investments primarily related to Hu-Friedy, a manufacturer of dental instruments and infection prevention solutions. Please note that we have again included a corporate sales category for Q4 that represents sales to Covetrus under the transitional services agreements and we expect that to continue through August of 2020. Turning now to our Q4 results, net sales from continuing operations for the quarter ended December 28th, 2019, were $2.7 billion, reflecting a 7.9% increase compared with the fourth quarter of 2018, with internally generated sales growth in local currencies of 5.8%. When excluding the sales to Covetrus under the TSA agreements, our internal sales growth in local currencies was 4.9%. And I'll note that, that was the highest quarterly growth rate that we've seen in the past year and a half. Details of our sales growth are contained in Exhibit A of our earnings press release that was issued earlier this morning. On a GAAP basis, operating margin for the fourth quarter of 2019 was 7.4% and increased 97 basis points compared with the fourth quarter of 2018. On a non-GAAP basis, our operating margin of 7.3% contracted by 47 basis points on a year-over-year basis. This margin contraction was primarily due to certain increases in certain employee-related costs. For the full year 2019, on a non-GAAP basis, our operating margin of 7.3% was essentially flat compared with 2018. Our long-term annual operating margin growth of 20 -- growth goal of 20 basis points per year expansion continues to remain intact. However, in 2020, we expect to achieve less than that 20 basis points of expansion due to stranded costs associated with the Animal Health spin-off as well as certain additional technology investments. You will find a reconciliation of GAAP operating margin to non-GAAP operating margin also in the supplemental information page on our investor page of our website. Turning to taxes, our reported GAAP effective tax rate for the fourth quarter of 2019 was 22.3%. This compares with 14.9% GAAP effective tax rate for the fourth quarter of last year. On a non-GAAP basis, our effective tax rate was also similar at 22.2% and compares with the prior year non-GAAP effective tax rate of 21.2%. Our full year 2019 effective tax rate was 23.4% on a GAAP basis, which compares with the full year 2018 effective tax rate on a GAAP basis of 20.0%. Our non-GAAP -- based -- on a non-GAAP basis, our 2019 effective tax rate was 23.7% compared with 22.9% in 2018. For 2020, we estimate that our effective tax rate will continue to be in the 23% range on both a GAAP and a non-GAAP basis. Again, look at the supplemental information page on our Investor Relations website for a reconciliation of GAAP taxes to non-GAAP taxes. Moving on, net income from continuing operations attributable to Henry Schein for Q4 of 2019 was $330.6 million or $2.25 per diluted share. And this compares with the prior year GAAP net income from continuing operations of $117.8 million or $0.77 per diluted share. Non-GAAP net income from continuing operations for the fourth quarter of 2019 was $143.0 million, or $0.97 per diluted share, and this compares with non-GAAP net income from continuing operations of $136.2 million or $0.89 per diluted share for the fourth quarter of 2018. This represents growth of 5% and 9%, respectively, on a year-over-year basis. Providing some additional detail on our results, on a continuing operations basis, amortization from acquired intangible assets for Q4 2019 was $26.9 million pretax, or $0.14 per diluted share compared with $19.1 million pretax or $0.09 per diluted share for the same period last year. For the full year 2019, amortization was $105.9 million pretax or $0.53 per diluted share, and that compares to $75.3 million pretax or $0.37 per diluted share in 2018. I'll also note that for Q4 of 2019, foreign currency exchange negatively impacted our diluted EPS by approximately $0.01 per share. Let me now provide some detail on our sales results for the fourth quarter. Our dental sales were $1.7 billion and increased 2.9% compared with the prior year, with internal growth in local currencies of 2.5%. North American internal sales in local currencies grew 2.2% and included a decline of 0.1% in sales of dental consumable merchandise. And that's really reflecting a soft end market demand primarily for independent dental practices. Internal sales growth in local currencies in North America -- for North American dental equipment and services increased 7.2% year-over-year. This growth was primarily driven by double-digit high-tech equipment sales, which were bolstered by a key supplier of sales event held early in October. Sales in our CAD/CAM business were particularly strong and Stanley will have more comments in this area later on in the call. Our current dental equipment backlog in North America also suggests continued growth in Q1. International dental internal sales growth in local currencies was 3.0%. This included 4.4% growth in sales of dental consumable merchandise and growth in international consumable merchandise was driven by really broad-based gains across most of our international businesses. Internal sales growth in local currencies and international dental equipment sales and services declined 0.8% as we faced a difficult year-over-year comparison with internal sales growth in the prior year of 7.5%. The sales decrease was also due in part to soft macroeconomic conditions in Australia. Our current international dental equipment backlog also suggests a return to growth in Q1 2020. We also reported mid to high single-digit sales growth in our various dental specialty businesses in North America, and internationally and Stan will discuss that in further detail also later in the call. Our medical sales were $788.7 million in the fourth quarter, an increase of 15.2%, with internally generated sales growth in local currencies of 10.2%. The 10.2% internal growth in local currencies really consisted of 10.3% growth in North America and 5.5% growth internationally. Medical sales growth results were again driven by both solid organic growth and a strong contribution from North American rescue, a recent acquisition. Technology and value-added services sales from continuing operations were $137.1 million in the quarter, an increase of 20%, with internally generated sales growth in local currencies' growth of 9.4%. In North America, the technology and value-added services internal sales growth in local currencies was 8.7%. These sales benefited from customers upgrading their Microsoft Windows operating system to remain software compliant as well as strong financial services revenue. Internationally, technology and value-added services internal sales increased by 13.4% in local currencies. These sales were also fueled by strong financial services revenues. During the quarter, we continued to repurchase common stock in the open market by buying approximately 2.9 million shares at an average price of $69.05 per share for a total of approximately $200 million of purchases. The impact of these repurchases of shares in the fourth quarter EPS was immaterial. For the full year, we did spend $525 million to repurchase approximately 8.2 million shares. Also, it's important to note that at year-end, Henry Schein had approximately $275 million authorized for future repurchases of common stock. If we take now a brief look at some of the highlights of our cash flow. We had very strong operating cash flow from continuing operations for the quarter at $295.3 million, and that's compared to $181.6 million in the fourth quarter of last year. For the year, the operating cash flow from continuing operations was also very strong at $820.5 million, and that compares to $450 million in 2018. Our CapEx for the year was $76.2 million, and that results in free cash flow from continuing operations of $744.3 million. As we have previously discussed, we plan on implementing a new restructuring initiative in 2020 to help mitigate stranded costs from expiring services under the TSA related to the Animal Health spin-off, as well as to look for additional opportunities to reduce expenses and drive operating efficiencies. We will provide additional details as we progress through the remainder of the fiscal year. So, I'll conclude my remarks by noting that we are reaffirming our 2020 non-GAAP diluted EPS. At this time, we will not be providing GAAP diluted EPS guidance as we are unable to provide an accurate estimate of expenses related to the restructuring that I just mentioned. 2020 non-GAAP diluted EPS from continuing operations attributable to Henry Schein is expected to be $3.65 to $3.75, reflecting a growth of 4% to 7% compared with its 2019 non-GAAP diluted EPS from continuing operations, which was $3.51. I think it's important to note that our guidance assumes that there is no significant supply chain disruption related to the novel coronavirus for certain infection control products. Our guidance for 2020, non-GAAP diluted EPS attributable to shine from continuing operations also includes any completed or previously announced acquisitions but does not include the impact of any potential future acquisitions as well as restructuring expenses. Our guidance also assumes foreign exchange rates that are generally consistent with current levels, and this guidance also assumes that the end markets remain stable and are consistent with current market conditions. Before I turn the call over to Stanley, I would like to make a further comment about the current impact of the novel coronavirus outbreak, which Stan will also address. Our sales in China as a proportion of total global dental sales are relatively small today. That said, we are monitoring the situation carefully as the spike in demand and corresponding limited supply for personal protective equipment such as masks and gowns is having a global impact. As Stan will describe, we are closely working with our manufacturing and supply chain partners as well as the pandemic supply chain network, the World Health Organization, the Chinese Ministry of Health, and the CDC to address product shortages as they may occur. At this time, it's difficult, if not impossible, to estimate a potential impact to our business related to supply -- related to potential supply constraints. So, with that, I'd like to turn the call back over to Stanley.
Stanley Bergman: Thank you, Steven. Before turning to the 2019 fourth quarter, I'd like to review a few highlights for the year. We achieved net sales from continuing operations of approximately $10 billion, with internal sales up 4% from 2018 in local currencies, which excludes sales to Covetrus. GAAP diluted EPS increased 67.5%, and non-GAAP diluted EPS growth was 10.7%, both on continuing operations basis. We were pleased with very strong operating cash flow of $820 million, which increased by $369 million versus 2018. In addition, in 2019, we completed 10 major majority-owned strategic transactions as we continue to expand our geographic presence and enhance our product offerings. Together, these acquisitions have trailing 12 months revenue at the time of purchase of approximately $350 million. We also continue to commercialize -- we also continue the commercialization of Henry Schein One, a significant development in support of our long-term growth plans. Our value-added solutions such as dental software leads stickiness in our base business, as our customers look to Henry Schein for much more than just merchandise and equipment. Value-added services is a key part of our growth strategy, both as it relates to the stickiness of customers and actually driving earnings per share. This often translates into recurring sales of these value-added services, with a higher margin profiles and accordingly, as I just noted, earnings accretion. Some acquisition highlights for -- in 2019 included our entry into the Nordic dental market, a market we had not have presence up to now; and the expansion of our dental business in China. In the medical market, we broadened our solutions offering, serving the defense and public safety markets. And on the technology side, we enhanced our offering with patient communication software and established a dental software presence in Italy as well as in Austria. Going forward, we have significant opportunities to allocate capital in support of our 2018 to 2020 strategic bet and beyond this, actually into our 2021, 2022 and 2023 plans. These opportunities are focused on three main areas. First, in distribution, with the expansion of our core dental and medical businesses as we continue to build scale and expand our new -- into new geographies as well as drive efficiencies in the businesses on the distribution side. Second, we will continue to invest in value-added services, advancing our solutions, services and support for customers; and third, partnering with a broad set of manufacturers as well as building the Henry Schein brand with the key goal of expanding gross margins. This will, of course, advance business for manufacturers that we work closely with, while at the same time, advancing our own brands specifically in the specialty markets. So, fourth quarter 2019, some highlights. On the dental side, North American dental consumable merchandise internal sales in local currencies was essentially flat. This reflects soft end market demand from independent dental practices. I would note that for the fiscal 2019, North American dental consumable merchandise internal sales growth was 1.2% in local currencies. North American dental equipment had a healthy increase in internal sales of approximately 7% in local currencies, primarily driven by high-tech equipment sales across multiple manufacturers, but also as it relates to traditional -- the contribution of sales of traditional products. Also, our sales were positively impacted by our participation in a key supplier sales event in early part of the quarter, particularly for CAD/CAM and dental laser products. In the fourth quarter, internal sales in local currencies for high-tech equipment increased approximately 11%, including CAD/CAM equipment growth of more than 50% and traditional equipment growth of nearly 5%. Our current dental equipment backlog in North America suggests continued sales growth in the first quarter of 2020. We believe we have a healthy backlog in the North American equipment market. Internationally, dental consumables, internal sales growth in local currencies were solid with more than 4% increase, driven by broad-based strength across most of our businesses on the international side. International dental equipment internal growth declined by approximately 1% in local currencies, reflecting a difficult prior year comparison as well as a slower economy in Australia, although we believe that the backlog in Australia will also result in decent comeback in that market. In the fourth quarter, internal sales of global dental specialty products increased approximately 6% in local currencies. For 2020, we believe the run rate for sales of our differentiated dental specialty product portfolio will be in the range of $650 million. Dental specialty sales was approximately 12% of our total dental consumable merchandise sales in 2018 -- sorry, 2019. We believe our focus on this high-growth and higher-margin specialty areas offer significant growth opportunities over the long term. Our dental strategy is focused on promoting customer success through several key initiatives that help enable customer business efficiency and better clinical outcomes. Our key is to help our customers operate a more efficient practice so that our customers can provide better clinical care. This includes enhanced mechanisms of collecting customer feedback and the launch of our common CRM platform, bringing us closer to our customers by helping to improve sales and support capabilities. The internal changes that we have introduced successfully will help us help our customers succeed. We are also focused on supporting long-term gains in sales and profitability with additional key talent that we've added over the years, last few years, bringing additional capabilities that are contemporary in nature as well as we have expanded our product and service offerings. This all, we believe, bodes well for our global dental business. Now, let's move to our medical business, where we delivered strong internal sales growth, up 4% in the fourth quarter of more than 10% in local currencies, with the highest growth coming from our large enterprise customers. We also recorded solid sales increases from our mid-market and our general practitioners customers. So, across the Board, we generated decent and actually very good internal growth from all the customer categories in the medical business. We believe we continue to gain market share in the medical business as we deliver on a robust segmentation strategy inclusive of health systems, ambulatory surgical centers, large group practices, and independent offices. In 2019, we highlighted our focus on the university health and workplace safety, workplace health settings, both areas further diversifying Henry Schein's footprint and reflect meaningful long-term opportunity. Going forward, we will continue to cultivate our capabilities in each end market segment and offer our providers relevant products and solutions to drive outcomes. Our procedures and care continue to migrate -- as procedures and care continue to migrate out of the hospital, specialization remains very important to our medical business strategy. Gastroenterology, orthopedics and dermatology are just a few of the areas of focus. And Henry Schein has robust plans to deliver value in these growth segments. We are also committed to supporting providers with highly focused specialist solutions to help support clinical outcomes in the medical environment. One example is point-of-care diagnostics, which is undergoing a shift from lateral flow devices to molecular diagnostics. Our dedicated point-of-care specialists can help providers navigate the shift. Our credibility, in fact, has resulted in significant growth in business in the diagnostic area and specifically the point-of-care diagnostic area. During the quarter, our team also continued to focus on delivering core services that bring exceptional value to our customers, such as telemedicine, the telemedicine platform to help optimize healthcare delivery and maximize patient engagement. In addition, the digital marketing solutions we offer are helping our customers, prospect and secure new patients. Value-added services in the medical sector are also a key part of our growth strategy from a customer stickiness point of view and from a profit generation point of view. Looking ahead, we plan to continue to invest in expanding these solutions platforms to address customer clinical, financial and operational needs, whether in the general practitioner, subacute, care or large enterprise settings. Let's move to our technology and value-added services businesses. On a global basis, technology and value-added services internal growth grew in excess of 9% in local currencies in the fourth quarter. 2019 was an important year in the positioning of Henry Schein One as we undertook important initiatives to further operationalize the integration of the two business units that came together to create Henry Schein One. We see many opportunities to our customers across the spectrum with the general practitioners, mid-market practitioners, large-scale DSOs, helping them to adopt these innovative software solutions to help drive practice outreach. That's new business and efficiency. We have a significant domestic installed base of practice management solutions and a growing international base that represents prime customers for our practice, engagement and demand generation tools. Lots of opportunities to take our installed base and add additional software capabilities to that base. We are also enhancing our cloud-based software business with Dentrix Ascend, particularly with DSOs, but this also has significant benefit for mid-market practices that wish to centralize patient data. During the fourth quarter, we had several exciting new product introductions at Henry Schein One. We launched the beta version of our Tech [ph] Dentrix, quick goal e-statements with online bill pay. This solution will offices streamline collection processes and reduce mailing cost and accelerate cash flow. We launched Dentrix G7.3, offering ledger improvements to help customers track and identify adjustments as well as improve insurance payment processes. During the fourth quarter, we released a new chairside dashboard for Dentrix Ascend in the Symbian cloud-based system, enhancing clinical patient data for the dentists. Also, we completed development work on demand for steady intervention with Dentrix Ascend, allowing the two platforms to sync data and function better together. There is a lot of exciting development work going on at Henry Schein One as we continue to evolve as a service provider and trusted resource for a broad selection of products and services to, as we noted earlier on, to the various sectors of the dental market, small, mid-sized, and very large practices. Before I turn the call over to general questions, I would like to add to Steven's comments on the novel coronavirus. Henry Schein has a long history as a pioneer in our industry as a thought leader, problem solver and catalysts of public-private partnerships to address pressing complex health issues, specifically in the infection control area. One example of this is our deep engagement in pandemic preparedness and disaster relief for more than 25 years. As we saw from SARS, H1N1, MERS, Ebola, and now with the novel coronavirus outbreak, the risk of infectious diseases outbreaks is ever-present and possesses critical risks to the global health supply chain. Out of desire to learn the lessons of the past and save lives in the future, we leveraged Henry Schein's expertise, supply chain leadership and extensive network of relationships with our supplier partners, health professionals and international organizations to catalyze the public-private collaboration called the pandemic supply chain network and that was in 2015 when we established this network. The pandemic supply chain network works to accelerate the delivery of critical supplies to frontline health professionals by providing market visibility, needs planning, production capabilities and risk forecasting for healthcare supplies. Henry Schein serves as co-founder and private sector lead for the pandemic supply chain network along with the World Health Organization, the U.N. World Food program, the World Bank, UNICEF, the U.S. Center for Disease Control and Prevention, and the World Economic Forum. In this capacity, Henry Schein service as the main liaison between more than 40 members of the private sector, including UPS, and J&J, with 10 multilateral organizations in helping to advance this work. In addition, our innovative strategy of prepositioning donations of critical healthcare products with our strategic NGL partners to enable these organizations to swiftly respond to emergencies has enabled us to donate needed supplies to frontline health workers. A prepositioned donation of masks that Henry Schein had made back in September 2019 to MedShare International, MAP International, and Project HOPE was quickly deployed in China via the appropriate channels working with local Chinese authorities to help address the outbreak. Those donation at the time was valued at nearly $1 million. We see our leadership in developing innovative approaches to pandemic preparedness, and response is an important pathway for us to most effectively serve our customers make a critical contribution to society and as a key differentiator of Henry Schein as a global area in this -- a global leader in this area, all contributing to the important value of Henry Schein as an entity. So, with that overview, I'd like to open the call to questions. Operator, please open the line. Thank you.
Operator: Thank you. [Operator Instructions] Our first question is going to come from the line of Jon Block, Stifel.
Jon Block: Thanks guys. Good morning. First one, Stanley, just the slight North American consumable number, I mean, it can always move around quarter-to-quarter. But this time, you called out particular weakness with the independents. And so just wondering if there's anything to elaborate on? Are there increasing pressures from this cohort from DSOs? I'd love more color there. Thanks.
Stanley Bergman: Yes, I don't think it's a pressure from DSOs per se. I think that there is an element of steady demand for services. I don't think it's decreasing. But also, there is, I would think, a searching for products that are perhaps lower priced that achieve the same outcomes. But overall, we believe the market is steady, the -- and up significantly growing. It is very hard to define exactly what an independent is and what a midsized practice is. The midsized practices are growing faster than the independents, but it's hard to tell exactly. We try to provide general guidance, but there's no scientific methodology for determining the one versus the other. But we believe that the market, from a procedure point, is relatively stable, with significant growth in some of the specialty areas. You cannot tell that from our numbers because our specialty products, as a percent of the total products, are relatively small, but as a percent of the profits are a little bit greater. So, we try to give some sense, but there's no scientific way of delineating between small practices and midsized practices.
Jon Block: Okay, got it. And Steven, the second one, I sort of use this as a clarification. So the specialty consumable number, Stanley, as you mentioned, again, solid growth, 6% plus. I think you mentioned the total bucket for the year around $650 million. I might be mistaken, but I thought in the past, that number was higher, like $750 million, maybe even $800 million plus. It obviously been growing. So, is that a refined number or refined definition of specialty consumables? And if so, what were some of the tweaks there. I'll follow-up offline with others. Thanks guys.
Steven Paladino: Sure. Yes, Jon. There was a refinement of the number. Historically, we were looking at all specialty products, which included a small portion of medical specialty products. And we thought it was more appropriate, really, to delineate just in dental specialty products. So, the total number is still correct, but the dental piece of it is at $650 million number.
Operator: Thank you. Our next question is going to come from the line of Steve Valiquette, Barclays.
Unidentified Analyst: Hi, this is Jonathan on for Steve today. Just going back to your comment that independents are looking for lower-priced products. If we couple that with procedures are essentially stable, does that mean that the independents are shifting from you guys and just going to competitors and some of the online discounters, et cetera?
Stanley Bergman: I don't believe that is the case per se. I believe the alternate channels to the full service, whether it's online or short line discount providers, is relatively stable. We know this from having a bit of access to this market data through some of our investments. I don't think that is the case necessarily, but I do believe they are shopping for lower-priced units of product that are similar. And so I think there is somewhat of a downward drift in the unit price per product.
Unidentified Analyst: Okay, fair enough. And then just on the DSO market, can you tell us kind of what you're seeing in the market there? Is there -- are compares being a little bit more aggressive in trying to take market share, et cetera? And I guess was there any softness similar to what you saw in the independent market? Or is it relatively stable there? Thanks.
Stanley Bergman: I think that market is relatively stable. We've always had significant competition in that market from time to time, one distributor or another may be super aggressive. Our posture is that we provide significant value-added services to DSOs, in particular, in the area of data and in the area of practice management software. And we feel that for that, our pricing needs to be fair so that we can afford to pay for the resources we provide, including human capital and make a decent margin. So, I would say that this market has always been competitive. We win some accounts, we lose some accounts. We do not report every transaction that goes on in that market. I think that will be too onerous. Having said that, I believe that market is relatively stable.
Steven Paladino: I would just add one other thing on the DSOs. It's more difficult to quantify what the unit growth there is because DSOs, by their nature, not only do they acquire certain products, but practices. But even if they start a new practice, it's difficult to determine how much of that new practice revenues is cannibalizing other practices and how much of it is real market growth. So, that's why it's harder to really quantify what's going on in the DSOs as far as market growth perspective. Yes, they're growing, but some of it is really, again, cannibalization. And it's cleaner on the independents and that's why we cited the independents because you don't have that dynamic.
Operator: Our next question is going to come from the line of Jeff Johnson, Baird.
Carolynne Borders: Jeff, are you there?
Operator: Hi, Jeff, go ahead with your question.
Unidentified Analyst: Hi sorry, I was on mute. This is Corin [ph] on for Jeff. I know China is a very small part of your overall business, but especially with the recent acquisition of a Chinese distributorship located in Wuhan, we'd love to hear your perspective in general about the recent dental demand in China and how widespread the slowdown in dental demand is across China?
Stanley Bergman: Yes. First of all, our percentage of sales in China versus our international sales in dental or even our global sale -- or our global sales is immaterial. We do own an interest in one of the largest -- maybe is the largest distributor of dental products in Wuhan, but the impact to both the sales and bottom line is not material. As it relates to dental sales in China, I think the best is to do some research on your own relative to healthcare services being provided in China. By and large, the only services that are being provided in big parts of China are essential healthcare services. There are some parts of China where dental services continue to be provided, but a huge part of China, dental services are not being provided. So, this, of course, only kicked in, in the third week of January or so, maybe early February. We don't know when the government will restore general dental -- general medical services, and in fact, dental services. This is what creates a question mark in our mind. I don't think we're unique. I believe this is the case in all healthcare. But we believe that the Chinese government will restore healthcare services in the near future because it is important to the population. But of course, none of us know the exact date when that is going to happen in any specific region. 
Unidentified Analyst: Great. Thank you. And one other question. We know you don't really guide to revenue growth, but can you provide any high-level thoughts on the North American dental consumables and equipment growth for 2020.
Steven Paladino: Yes. Again, let me just mention that related to coronavirus, one of the issues separate from our Chinese business, which again, as Stanley said, is small and not material, there is a question on availability of product from manufacturers on certain products, specifically things like masks and gowns and disinfectants. We saw a little bit of an accelerated demand early in Q1, but we do have limited supply, and we are really not sure when we will be able to get additional supply if there will be no disruption or if there'll be some or significant disruption, it's impossible to tell right now. So, demand really caveats that whole area because if we don't have supply, that will negatively impact the demand in consumables. So excluding any significant impact related to that, we still think that the market, while it's soft, really isn't dramatically changed. It is stable. So, we're expecting that to continue. We continue to have stable demand and products for consumables. The other thing that we're looking to do, Stanley highlighted it in his prepared remarks is, again, continue to grow in faster subcategories of the market like dental specialties to help offset that, the slower growth in general consumable products. So, I think we're really expecting stability in the consumable market going forward in our guidance.
Unidentified Analyst:
Operator: Our next question is going to come from the line of Elizabeth Anderson, Evercore ISI.
Elizabeth Anderson: HI, good morning guys. Could you just -- I'm sorry, I apologize if I missed it, but could you talk about the impact of flu on medical in the quarter?
Steven Paladino: Sure. We didn't specifically mention flu as -- I guess, there's two components of influenza. One is the actual flu vaccine that we sell to our customers. That was strong, but it's not a big driver of the overall growth, really, because it was a more severe flu and virus season. We saw patient traffic to the physician offices accelerate a bit. It's unfortunate that it's the severe season this year, but it is, and that does drive overall patient traffic and overall demand in products other than influenza per se -- influenza vaccine per se.
Elizabeth Anderson: Got it. And could you just comment broadly on where you are in terms of DSO renewals for the year?
Steven Paladino: Yes. So, we feel -- we don't like to talk about specific entities and specific situations. We think from a competitive point of view, we're better off really not talking about that. But I will say that we feel very good with our large DSO customers. We feel like we have very strong relationships of providing exceptional service and feel good about our ability to continue to serve that customer base. And although there are some of our competitors who are looking to grow in that space, it is a little bit different than non-DSO business. And the requirements that these customers have is a little bit different. And we feel like we are uniquely positioned to be able to serve them really well. So, on average, we feel good about this customer base.
Operator: Thank you. Our next question is going to come from the line of Nathan Rich, Goldman Sachs.
Nathan Rich: Thanks for the question. I just wanted to follow-up on your commentary about kind of changing purchasing pattern from the independent practices. I mean, do you feel like this is a more permanent shift in how they think about purchasing supplies? And I'd be curious to kind of know the nature of the changes that you're seeing? Is it more lower-priced brands, more private label? And do you think that it ultimately has an impact on how they're thinking about purchasing equipment as well? 
Stanley Bergman: So, there are two questions in that. The one, Nathan, is related to consumables. I think that small practices, midsized and large practices will spend more money per unit of product if there is some innovation in that product. We feel quite comfortable that with many of our key suppliers, there are innovative products coming out, that come out and are coming out, and that will drive products, that will drive pricing up, I think, of certain units. I don't think this is a permanent change unless there's no innovation. But we understand from our key suppliers that they are current new -- current products, good products that have been launched, innovative products that have been launched and that the pipeline continues to have products going forward, new products. As it relates to equipment, there have been competitive pricing challenges in certain imaging products. I don't believe that is the case any longer. And we know for sure, at least amongst our customer base, that they are investing in their practices, whether it's in CAD/CAM, laser or for that matter, quite frankly, traditional sales, where we reported in the North America a 5% increase. So, we believe that the equipment market is quite robust. We believe our backlog is solid. And so we are optimistic about the equipment market in general in North America, and for that matter, globally. And we believe that the consumable market is stable, and I think, should be judged over a few quarters and not necessarily one quarter.
Nathan Rich: That's helpful. And Steve, maybe just going back to a previous question. As we think about the outlook versus the North America market, I think that you guys typically try to grow above the market each year. It seems like you kind of expect a continuation of the end market trends that we've been seeing. How should we think about the loss of the large DSO customers that you called out late last year impacting the growth in that business? And kind of when we put it all together, can you kind of help kind of frame how you're thinking about growth in the North American market for 2020?
Steven Paladino: Yes, I think when we report, we'll probably give more detail on that because I think it would be difficult for us, although not impossible, but difficult to say we're going to gain market share, including the loss of that one customer. I think, really, our goal would be -- that may be too optimistic and that the market share gains would be excluding the impact of that one particular customer.
Operator: Thank you. Our next question will come from the line of Sarah James, Piper Sandler.
Sarah James: Thank you. So, you guys have talked about this being a big couple of years coming up for equipment innovation, I think, from multiple manufacturers. Can you provide any more details on that? And how do you think about incorporating that into your sales guidance? Thanks.
Steven Paladino: Sure. So, we're hopeful that there's some upside because of new products coming into the market. We don't specifically have that built into our guidance because it's difficult to estimate the timing of when those products come into the market and what traction -- how quickly they'll get traction. But for example, one of the product categories that we saw some nice growth in Q4 in was lasers. Lasers are still a relatively new technology even though lasers have been out for a long time. The adoption of lasers in the dental market is still relatively low. So, from that perspective, it's a newer product. And it does have merit; it can do certain procedures quicker as well as less pain to the patient. So, that's one good example, but it does take time. The dental market does tend to be slow in adopting new technologies and slow in adopting new equipment. Our equipment sales growth was not just CAD/CAM in Q4. Yes, it was led by CAD/CAM, but we also had traditional equipment growth, we also had the laser growth, we had some other high-tech equipment growth. So, the short answer again is we don't have anything specific built into our guidance because it's difficult to do so around timing.
Sarah James: That's helpful. And just a bigger picture question on the renewal cycle of DSO contracts. Can you give us an idea of pacing? Is 2020 a larger, small year? How do you think about the big renewal years coming up for your DSO contracting? Thanks.
Steven Paladino: Well, one of the things that we made a concerted effort we were successful in doing is rather than having, as we had several years ago, a lot of the renewals all coming up in 1 year, we really don't have that. We were able to spread out some of the renewals so that they're not all bunched up in one particular year. So, we feel good that, that's helpful because even to focus on the renewals and to provide responses to RFPs, if you have them all coming up at one-time, it's more difficult than to focus on a few at a time. So it's also good because the impact of any one -- or any one year is not as significant as it was two or three years ago when that happens.
Operator: Thank you. Our next question is going to come from the line of Michael Cherny, Bank of America.
Michael Cherny: Stan, earlier, you talked about the 10 deals completed in the course of the year. You also mentioned on another part of the call your focus on the portfolio and continuing to utilize capital to deploy, to add on to your existing capabilities. Can you maybe give us a sense as you look out over the next one, three, maybe even five years, how you think of that M&A strategy evolving in terms of consistently adding new geographic territories on -- for distribution side versus other value-add services versus other potential private label products that you can push through your channel? 
Stanley Bergman: Yes, a good question. We actually see opportunity in all of our businesses. If you look at our capital distribution business, there's a geographic footprint expansion but also there is opportunity to add to our portfolio in practically every market throughout the world. There are no massive dental distribution businesses, really, in our site in, say, North America, but there are opportunities throughout the world on the consumable and equipment side. And there are specific markets where we're relatively underpenetrated. Having said this, we have a relatively smaller market share in specialty areas. Our market is growing. Our business is growing very nicely in the ortho, endo and oral surgery implants and bone regeneration businesses in many parts of the world. But there are many parts of the world where we either are not present or have a very small presence, so there is significant opportunity to invest in the specialty areas. Henry Schein One has huge opportunities in many, many areas for investment. And our medical business has opportunity on the distribution side in North America, but globally, there is a lot of opportunity. And on the medical side, there is a significant opportunity in investing in specialty products and businesses, including some vertical integration, specialty opportunities as we've seen on the dental side. So, we see many opportunities across the Board. We're very comfortable doing these mid-sized deals that we've been doing for years, and every now and again, do something involving putting hundreds of millions of dollars to work. But the $350 plus million of acquisitions each year is something we're quite comfortable with. We can integrate them well. And again, we see lots of opportunity for that kind of investment, and every now and again, a significant investment above number. All of these adding to our geographic presence, our product offering, and in certain areas, improving on our margins.
Michael Cherny: And then just, Steve, you mentioned the initiation of a new restructuring program on the -- coming up. Can you maybe give a little sense in terms of what are some of the areas you're targeting as you put forward in that restructuring program? And where are some of the efficiencies that you think Henry Schein, who's always been pretty efficient, can get more efficient in?
Steven Paladino: Well, I would say that a lot of it comes from -- every year, we do 10, 12 acquisitions, and sometimes, you can't fully integrate without restructuring. So, it's not really -- it's -- there's also a lot of new technologies that are out there to help operating more efficiently that we want to implement and that will save money. It will not be focused on any of the sales activities; we feel there's no need to do anything in that area. So, we're really more on non-sales activities that we will focus on.
Operator: Thank you. We have time for one last question. That question will come from Kevin Caliendo with UBS. 
Brett Gasaway: Hey guys. This is Brett on for Kevin Caliendo. I appreciate you squeezing me at the end. I just want to go back to the DSO RFP strategy. I mean is there any insight you can give around pricing and possibly bundling value-added services going forward that may have shifted after the contract loss in 2019? Just trying to get more clarity around there. Thanks.
Stanley Bergman: Steven can provide further specific thoughts, but we have not changed our strategy per se in dealing with DSOs. It's always been a competitive market. As it relates to particular bundling opportunities, we've always bundled in one way or another. And to be specific, I think, would not be a good idea from a competitor point of view. Suffice to say is our offering of general consumables is most competitive, whether it's branded or our own brand and our offering of specialty products is quite unique amongst the distribution community. And certainly, we have a unique offering opportunity in the practice management Henry Schein One arena. So, I think we remain highly competitive in the space and where we have had a very good market share in the United States as well as in Europe. And by the way, in Europe, this DSO movement, to some extent, is growing in certain markets and we remain well-positioned to capitalize on that business as we have in the United States. It has always been a competitive market.
Steven Paladino: Yes. The only thing I would add to that is our DSO customers are looking for not only very good supply chain, pricing and logistics but also helping them run more efficient practices, helping them with patient demand generation and really doing a lot more solutions for them than just supply chain solutions. And I think that's where we excel through Henry Schein One, especially on patient demand. I think we have unparalleled expertise in that area and some of the other value-added solutions that we have. So, I think that, that whole package really will be the winning package for customers. And again, we're uniquely positioned to be able to do that.
Brett Gasaway: Yes, that's helpful. And if I could squeeze in one more. Just going to the reveal aligner that was introduced today at Chicago Midwinter, should we be thinking about any contribution from that in 2020 and any potential cannibalization of the XLS base going forward?
Stanley Bergman: I don't think you should draw any major conclusions. First of all, the two products have been introduced for about a year on mostly a beta site basis. As we did mention on the last call, we have a number of DSOs for the reveal product that have signed up. I do believe that over time, we will generate a good business in this line of field. We have a good product. We have good offering. We have some very good sales case -- marketing sales capacity behind it. But as we've said in the past, this is one additional product line to Henry Schein, and we should not draw specific conclusions on the overall impact as it relates to the business of Henry Schein in general. But we remain quite optimistic that we have a good product and a good offering, and we will slowly introduce it to ensure that our sales match the capacity to deliver. But again, we believe we have a very good product offering in both -- for both the specialist and GP and position our GP customers to compete very well with the direct players in this market. We have met a lot of positive comments. We've gotten some sales, but I think it is too early to add too much to our earnings related to this product offering, especially in light of the fact that we will be investing in sales and marketing in this area.
Operator: Thank you. I would now like to turn the call back over to Stanley for closing comments.
Stanley Bergman: Thank you very much operator. As we close today's call, I'd like to leave the investors with a thought about our business model and go-to-market strategy. We have spent decades diversifying and differentiating our dental and medical businesses by adding new products and solutions, particularly for dental, expanding our geographic footprint, and specialty offering. Our success is not bound by the growth profile of any one particular market or customer segment. We really have a diverse product offering. We are confident that we will continue to grow our sales, our gross margin, manage our expenses better, and therefore, increase operating income with the result of increase in EPS, all while turning these increased profits into cash. Growth rates will vary quarter-to-quarter in each category, but we view the fundamentals of each market we serve as solid and some as being markets that we're extremely optimistic about, whether it's the specialty markets; the practice management solutions markets; Henry Schein One; the medical markets, or for that matter, the dental and medical equipment market; and in certain sectors of the world, the consumable market, the dental consumable market. It is our goal to provide continuous growth in sales and profitability, resulting in an attractive long-term return on investment for our shareholders as we have done in the 25 years as a public company. I remain extremely optimistic about the future of Henry Schein. I can comfortably say that from a management point of view, we are better positioned today than ever before to take advantage of the opportunities that lie ahead of us. It is still the first quarter, and it is not the right time to be increasing guidance, but we do remain optimistic about Henry Schein's future. Having said that, there are a lot of variables in the world beyond anyone's control, including the Chinese situation relative to the local market. Again, not material to Henry Schein from a sales and profit point of view and availability of infection control products. We cannot be certain about that. Having said that, I believe we're very well-positioned, in fact, almost as good as anyone else to deal with the supply challenges. It's just that we cannot be 100% certain about anything. We have been working on supply chain in the infection control arena for decades and have always, in the past, been able to supply our customers with product as needed. But having said that, it is -- it would be foolhardy to make predictions in the first quarter of 2020 about the full year. Having said that, we stick with our guidance, and hopefully, we'll be in a position to present better news as the year unfolds. We look forward to speaking to you again in May, we -- when we report our next earnings, and of course, at one of the next conferences. And in fact, we'll be meeting investors here in Chicago in multiple meetings. We're very, very pleased with the progress we're making in all of our business sectors and are very excited about the future of Henry Schein. Our customers, I believe, appreciate what we're doing. And as I said, we have an outstanding team in place, with each of the key areas of focus being well-positioned for the future. So, as we go into preparing for our 2021, 2022, 2023 strategic plan, I remain extremely enthusiastic and excited about the future of Henry Schein. Thank you very much for listening to us today. We look forward again to future calls and meetings. If you have any further questions, please feel free to contact Carolynne Borders in Investor Relations at 631-390-8105, 631-390-8105 and thank you again for joining us today.
Operator: Thank you. Once again, we'd like to thank you for participating in today's Henry Schein fourth quarter and full year 2019 conference call. You may now disconnect.